Operator: Good morning and welcome to Simply Good Foods Company Fiscal Third Quarter 2023 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. At this time, I would now like to hand the call over to Mark Pogharian, Vice President of Investor Relations. Thank you. You may begin.
Mark Pogharian: Thank you, operator. Good morning. I'm pleased to welcome you to The Simply Good Foods Company Earnings Call for the fiscal third quarter ended May 27, 2023. Joe Scalzo, CEO; Geoff Tanner, President, COO and CEO Elect; and Shaun Mara, CFO, will provide you with an overview of results which will then be followed by a Q&A session. The company issued its earnings release early decent accompanying presentation are available under the Investors section of the company's website at www.thesimplygoodfoodscompany.com available. During the course of today's call, management will make forward-looking statements that are subject to various risks and uncertainties that may cause actual results to differ materially. The company undertakes no obligation to update these statements based on subsequent events. A detailed listing of such risks and uncertainties can be found in today's press release and the company's SEC filings. Note that on today's call, we refer to certain non-GAAP financial measures that we believe will provide useful information for investors. Due to the company's asset-light strong cash flow business model, we evaluate our performance on an adjusted basis as it relates to EBITDA and diluted EPS. We have included a detailed reconciliation from GAAP to adjusted items in today's press release. We believe these adjusted measures are a key indicator of the underlying performance of the business. The presentation of this information is not intended to be considered in isolation or as a substitute for financial information presented in accordance with GAAP. Please refer to today's press release for a reconciliation of the non-GAAP financial measures to the most comparable measures prepared in accordance with GAAP. With that, I’ll now turn the call over to Joe Scalzo, Chief Executive Officer.
Joe Scalzo: Thank you, Mark. Good morning and thanks to all of you for joining us. Today, I'll recap the company's third quarter results and Geoff will provide you with some perspective on the performance of our brands. Then Shaun will discuss our financial results in a little bit more detail before we wrap it up with the discussion of our outlook as well as taking your questions. Moving on to the third quarter results, retail takeaway and our overall financial performance were greater than our expectations. Simply Good Foods third quarter point of sale and the combined U.S. measured and unmeasured channels increased about 11%, outpaced Q3 net sales growth of 2.6%, principally due to the prior year retail customer inventory build. Shaun will provide more details on the difference between net sales and point-of-sale growth in a bit. Net sales growth was driven by North American performance as international business sales were about the same as last year. Quest momentum continued, resulting in a net sales increase of about 9%. Third quarter gross margin was 36.7% and exceeded our estimate as input costs moderated versus our forecast. Gross margin declined 80 basis points compared to last year as ingredient and packaging costs were higher than the year ago period. Encouragingly and as we expected, the magnitude of these cost increases eased substantially from those in the first half of the year. Adjusted EBITDA in the third quarter was $66.6 million versus $63.3 million in the year ago period. The $3.3 million increase was greater than our forecast due to the better-than-expected net sales and gross margin performance as well as good SG&A cost control. This provides us with some flexibility to make additional investments as we move into the fourth quarter. Now I'd like to pause here to just say thank you. It's been a pleasure to lead the company. I'm so proud of our team and everything that we've accomplished during the past 6 years. I've always appreciated the insights and the questions that you provided in all of the various calls and meetings that I participated with you. You've made me a better leader and a Simply Good Foods company, a better company. So thank you. As we announced in January, Geoff Tanner will become President and CEO on July 7 and I'm pleased to be staying on as Executive Vice Chair of the Board. I know you have all heard me say more than a few times that I love this category and I love the hand that I've gotten to play as CEO of Simply Good Foods. While I can think of no better person to take over this hand than Geoff. I've gotten to know one better over the past few months. He has an infectious enthusiasm for our company, for our brands and for driving growth. He brings passion and idea to the business that only makes us a better company. I know many of you have met Geoff and know that he's an experienced leader with superb marketing and commercial capabilities. So now let me turn the call over to him to provide you a summary of third quarter brand performance and some of his initial observations of the company. Geoff?
Geoff Tanner: Thank you, Joe and good morning to everybody. Simply Good Foods year-to-date retail takeaway in measured channels increased 11.6%, driven by both pricing and volume. Similar to the last few quarters, total unmeasured channel growth was additive to total company POS, resulting in combined measured and unmeasured channel growth about 13%. Atkins and Quest combined measured and unmeasured channel growth was about 2% and 24%, respectively. Let me now turn to Quest Q3 performance. Retail takeaway was strong, driven by an increase in household penetration and buy rates the way it was similar about 25%. Quest Q3 POS at Amazon increased about 29% versus the year ago period. What I like is how balanced the growth continues to be on the brand, balanced across product forms and retail channels as well as balanced across key drivers; namely distribution, velocity and innovation. Despite the size of the business and growth we've seen, outside penetration is only 15% and aided brand awareness is well below competitors, indicating Quest has a long runway for growth ahead of it. Measured channel Q3 POS growth of bars and snacks were both about 25%. Quest bars growth was solid across the portfolio. Quest [indiscernible] momentum continued with growth similar to last quarter across all forms. The star here is chips, nearly half of the Quest Snacks business which continues to be a meaningful driver of growth. Snacks represents nearly 45% of total Quest measured channel retail sales, reinforcing the opportunity for the brand to expand into adjacent categories, dayparts and usage occasions. Turning to Atkins; Q3 retail takeaway and the combined measured and unmeasured channels is expected to climb 2%. POS softness was primarily due to incremental programming in the year ago period that we did not repeat this year and a lack of innovation on our bar business that led to TDP declines on this form over the last year. As a result, in measured channels, Atkins Q3 POS was off 3.4%. Strength at a large mass retail customer and an Amazon which was up 16% was offset by declines across the broader retail landscape. Moving on to performance by forms; games and shakes and meal bars about 60% of Atkins retail sales was offset by declines in snack bars and indulge confections. Recall, as discussed the last couple of quarters, the underperformance of our snack bar business was driven by a lack of innovation that also led to distribution losses. Year-to-date, snack TDPs are off about 25%. Year-to-date total buyers are about the same as in the year ago period, resulting in flat house type penetration over the last 52 weeks. Performance in the third quarter slowed versus the first half of the year, largely due to the aforementioned snack bar distribution losses. Getting Atkins back to its full potential by formed and channel is my number one focus as the incoming CEO and work here is already underway. In the near term, we're actively working to shore our buyer innovation and regain TDPs [ph]. We'll continue to focus on accelerating our e-commerce success with the right pack sizes and we're also working with each of our retail customers to strengthen programming. Concurrently, as you would expect, we are committed to ensuring Atkins remains a vibrant, culturally relevant brand that is built for today and tomorrow's consumers. The consumer demand and need for weight wellness has never been greater and low carb, low sugar weight wellness is broadly and well understood as a highly effective solution. Finally, Atkins has $0.98 brand awareness. Given the brand's unique positioning in the space, we'll look at opportunities and levers to ensure and strengthen the brand's long-term growth. We expect Atkins Q4 retail takeaway to be better than Q3 but it will not be where we want it to be. The aforementioned work underway will take some time but you have my commitment that will make the investments necessary to accelerate growth and to get Atkins back to full potential. Now shifting gears and before I turn it over to Shaun, I wanted to provide you with some of my early observations on the company. Over the last 3 months, I've dived into the business, spending time with Joe, the leadership team, employees, our Board of Directors top new delivery of top-tier shareholder value. The first pillar is accelerating category growth. Most center store categories in North America are mature with household penetration in the high-80s with legacy brands; hence, it's mostly a share game. A nutritional snacking category in comparison is a virtual teenager. Our penetration is in the 50s [ph], and this has a potential to continue to bring new product forms like salty snacks to further expand penetration and buy rate. In addition, there is the twin tailwinds of consumers wanting to live a healthier lifestyle and the relentless growth in snacking, now possible eating occasions. I think this category will be twice its current size, and I am committed to working with my team and customers to get it there as fast as we can. I don’t know the exact sequence of pacing but the opportunity is there. Brick-and-mortar and e-commerce retailers; they see it, too and we'll be working closely with them to build this future together, especially in how we create more category space. The second pillar is driving top-tier growth. Starting with Quest, with nearly $700 million in net sales by year-end fiscal 2023, Quest has approximately doubled since the acquisition and continues to disproportionately win with GenX and millennials. Despite its size, we see a very long runway of growth. So what would this look like? First, continuing to press on innovation, close in and further out and expanding distribution; second, a step change in marketing. Brand awareness is extremely low, given the brand size which speaks to the opportunity for increased media investment, broader reach and iconic creative. Turning to Atkins; with any brands, you need to pay close attention to short-term performance and to long-term brand health. As mentioned, in the short term, we will strengthen the brand through addressing our lack of renovation on bars, improved merchandising execution and doubling down on e-commerce. And currently, though, we're working to ensure the brand remains fresh and culturally relevant for today and tomorrow's consumers. The first phase of this is talking with consumers, customers and other stakeholders which will then inform us of the opportunities and levers to pull. The brand is iconic, enjoys tremendous awareness and is uniquely positioned at a time when the need for weight wellness has never been greater plus the products are absolutely delicious. I'm excited to work with the team to accelerate Atkins growth so that the brand can achieve its full potential. The third pillar is to fuel margins and brand reinvestment. Recently, the CPG industry has operated under a confluence of challenges that have stressed how we operate the business. Simply Good Foods has performed well. But as in every business, there are opportunities to improve execution. I will work with Shaun to enhance our continuous improvement mindset. Very specifically, we are committed to sequential gross margin improvement. This will ensure advertising and marketing gets back to our target level. The final pillar is Simply Good Foods as a platform for scaled growth. We have a bold mission for health and wellness and a bold vision for the category, supported by scaled go-to-market capabilities. We like the profile of our P&L and our profitability and asset-light model results in strong cash generation. This provides us with the flexibility to opportunistically participate in M&A or share buybacks. Now we have a tremendous organic growth runway in front of us which is where we'll be focused. However, if the asset is right and the price is right, M&A has a role and we would consider higher leverage. I want to close my prepared remarks by thanking and recognizing Joe. Very few people have the distinction of establishing large publicly traded companies, especially in the food and beverage space and then delivering outsized returns year after year. I don't mind admitting that Joe leaves and pretty lad shoes to fill. The good news for me is that Joe isn't going anywhere and will transition to Executive Vice Chair on our Board. Now I'll turn the call over to Shaun, who will provide you with some additional financial details.
Shaun Mara: Thank you, Geoff. Good morning, everyone. I will begin with an overview of our net sales. Total Simply Good Foods third quarter net sales of $324.8 million increased 2.6% versus the year ago period. Looking at the Q3 drivers of growth, net price realization was about 7.3 percentage points and volume was off about 4.6 percentage points. As Joe stated earlier, retail takeaway growth outpace the net sales change. On the bottom of this slide, we attempt to reconcile Q3 POS of 11% to Q3 North America net sales growth of 3%. The biggest driver is in the prior year period, as last year, retailers did not deplete inventory in Q3 as they would normally do. As we have discussed on our last 2 calls, last year, retailers increased their inventory levels to address supply chain challenges in the first half of the fiscal year and held these inventory levels through Q3 of fiscal '22. Retailers largely depleted this inventory in Q4 of fiscal '22 and we exited the year with more normal retail inventory levels. As I've said before, last year was atypical. As normally, retailers build a week or so of inventory in the first half of the fiscal year, anticipation of New Year, New You and then largely deplete that inventory build in the third quarter. We saw the return to historical operating norms this year. As a result, in the third quarter of fiscal '23, we estimate the change in retail inventory compared to last year to be about an 8 percentage point headwind. Moving on to other P&L items for Q3; gross profit was $119.2 million, an increase of $0.6 million from the year ago period, resulting in gross margin of 36.7%. The 80 basis points decline versus the year ago period was primarily due to higher ingredients and packaging costs. This was slightly better than our estimate due to input cost moderation versus our forecast. Net income was $35.4 million versus $38.8 million last year. Adjusted EBITDA was $66.6 million, an increase of $3.3 million from the year ago period. Selling and marketing expenses were $30.2 million versus $32.3 million, a decline of 6.7%, largely due to the timing of spend within the year. GAAP G&A expense was $30.5 million, an increase of $3.8 million versus last year, primarily due to fees associated with the Term Loan B reprice and maturity extension and executive transition costs. Excluding these costs as well as stock-based compensation, G&A declined $0.2 million to $23.3 million. For the full fiscal year 2023, we expect selling, marketing and G&A expense to be slightly down versus the year ago period. Moving to other items in the P&L. Net interest income and interest expense increased $2.4 million to $7.2 million due to higher variable interest rates related to the term loan and our tax rate in Q3 was about 24.8%, about 170 basis points higher than last year. We anticipate the full year fiscal 2023 tax rate to be in the 24% to 25% range. Turning to EPS; third quarter reported EPS was $0.35 per share diluted compared to $0.38 per share diluted for the comparable period of 2022. In fiscal Q3 2023 depreciation and amortization expense was about $5 million and similar to the year ago period. Stock-based compensation was $4.1 million. Fees associated with the Term Loan B reprice maturity extension were $2.4 million and executive transition costs were $0.7 million. Adjusted diluted EPS which excludes these items, was $0.44, the same as the year ago period. Note that we calculate adjusted diluted EPS as adjusted EBITDA less interest income, interest expense and income taxes. Please refer to today’s press release for an explanation and reconciliation of non-GAAP financial measures. Moving to the balance sheet and cash flow; as of May 27, 2023 the company had cash of $68.8 million. Year-to-date cash flow from operation was $110.4 million, an increase of about 64% versus the year ago period. In Q3, the company repaid $40 million of its term loan debt; and at the end of the third quarter, the outstanding principal balance was $325 million resulting in a trailing 12-month net debt to adjusted EBITDA ratio of 1.1x. We anticipate net interest expense for the year to be about $28 million to $30 million, including non-cash amortization expense related to deferred financing fees. Year-to-date capital expenditures and depreciation were $10.1 million and $15 million respectively. Capital expenditures included an investment of about $8 million to secure specialized equipment at [indiscernible] manufacturer. In summary, third quarter results were slightly better than our expectations, giving us an opportunity to make some additional investments in our business in the fourth quarter. While early, fourth quarter POS is off to a good start. Through the first 3 weeks of the quarter, retail takeaway increased about 11%. The recessionary economy continues to be a concern as shopper traffic shifts away from grocery to more value-oriented channels. As we get late into our fourth quarter, we will lap last year's price increase. As such, we expect our retail takeaway growth will moderate slightly from current levels over the remainder of the year. Net sales will outpace POS growth in Q4 as we lap a significant retail customer inventory reduction in the year ago period. The overall cost environment is improving and we're on a path for gross margin recovery. Gross margin is expected to sequentially improve again in the fourth quarter from the third quarter and should continue to improve as we move into fiscal 2024. We will continue to execute against our priorities and remain committed to doing the right thing over the near and long term for our brands, customers and consumers. Now to wrap up; the company has a portfolio of brands aligned with consumer megatrends of both health and wellness, convenience and on-the-go nutrition. As such, despite the challenging economic environment, the company believes it is well positioned to deliver on its objectives. Therefore, we anticipate the following in fiscal 2023. We reaffirm a net sales increase slightly greater than our 4% to 6% long-term algorithm. Gross margin will decline versus last year, although at a lower rate than fiscal 2022. Full year fiscal 2023 adjusted EBITDA will increase but slightly less than the net sales growth rate. And adjusted diluted EPS will increase less than the adjusted EBITDA growth rate due to the company's expectation of higher interest expense. Retail takeaway growth in our category and our brands remain solid. As such, we are excited about our near- and long-term growth prospects and we'll continue to execute against our strategies as a path to increase shareholder value. We appreciate everybody's interest in our company and we are now available to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Matt Smith with Stifel.
Matt Smith: Wanted to ask about the performance of the Atkins brand in the quarter. Consumption slowed sequentially and there was an expectation for that given the tough comparison lapping promotional activity in the prior year. But could you talk about the path to recovery there. There was a comment about near-term priorities to shore up the brand. Is that reliant on shelf resets? Or are there things initiatives you can take on to improve the sequential performance there ahead of the fall shelf resets?
Joe Scalzo: Yes, I'll start and then I'll turn it over to Geoff to kind of talk about how he sees it playing out from a timing standpoint. As we've communicated, I think, on the last few calls, the slowdown in the Atkins business has been primarily driven by the loss of distribution points, in particular, on our snack bar business that occurred about a year ago. And the losses were pretty significant, somewhere around a 25% TDP loss. We lost almost half the items that we had in the lineup. And so we've been accelerating the innovation pipeline to get bars back into the -- into distribution. We -- as we are executing on the most recent shelf sets, we have 1 item that is building distribution as we speak. We'll start lapping some of the TDP losses. So we'll start seeing some of the TDP losses just because we're lapping last year's losses start to ease. But the true recovery on it will be our ability to get back kind of to full distribution kind of where we started about a year ago. And I'll talk to Geoff because I know Geoff been may deep in the details of the innovation pipeline. I'll turn it over to him for some call commentary.
Geoff Tanner: Yes. Thanks, Joe. Thanks for the question. Look, I look at Atkins, look at 2 time periods, strengthening the business in the short run and then working to strengthen it for the long term. And as Joe mentioned in the short run, we're very focused on accelerating our innovation to market, working with the teams, working with them most of yesterday and I'm pleased with the new innovation pipeline on bars. As you know, though, it does take time but sequentially over the coming launch windows. You'll see us build that distribution back. In addition, you'll see us work with customers to strengthen our merchandising and we also see a near-term opportunity to accelerate our e-commerce business. As you look a little further afield, I think as you would expect and as I mentioned in the scripted remarks, we'll be taking a step back on the brand, talking to consumers and other stakeholders. And determining how we can ensure that this brand delivers on the full potential that is clearly evident given the need for weight wellness and how well positioned this brand is. That takes a little bit longer and we're looking at different levels. But that's how I would think about how we're approaching Atkins. Really shoring it up in the short term while working to ensure it delivers its full potential in the long term.
Operator: Our next question comes from the line of John Baumgartner with Mizuho Securities.
John Baumgartner: Maybe a follow-up on Matt's question, just sticking with Atkins. It sounds, Geoff, it sounds as though you're taking I guess, moving the time frame back for recovery in the brand. And it's been through a lot the last couple of years with the mobility during COVID and some of the missteps on innovation and merchandising. But I'm curious, to what extent is just a simple elasticity a factor here? I mean, this is a category where we're seeing more brands, more formats. It seems as though elasticities vary quite a bit between the brands and the formats. So given data or insights that would suggest elasticity has not been a material factor here and it's not something as simple as just the price point given the Atkins consumer relative to a Quest consumer or somebody else who may be more, I don't know, loyal but just stickier in terms of the price point.
Joe Scalzo: Yes, I think great question. And I'll start and I'll turn it over to Geoff. So if you just look at the brand from a product standpoint, as we've since kind of last Labor Day, when people started going back to work, we saw a real shift in what people were buying on the brand and don't get to elasticities once I touch on this. So shakes and meal bars which tend to be meal replacement on the go meal replacement, somewhat driven by kind of being on the go and be it back to work. We've seen those businesses pick up where we've seen the slowdown has been in kind of the more snackier portion of the portfolio, snack bars and adult. And they have, in fact, been slightly more elastic in their response to the price increase. So we've tactically done some spending back on the business. So we'll get a better sense of how that's going to play out because we start lapping that price increase in July and August and we'll see whether how consumers respond to it. But we have seen the snackier portion of the portfolio tends to be the last thing in the basket, last thing purchased and the first thing out when people feel a little squeezed from a financial standpoint. So we have seen that behavior in the confection business and the snack bar business. And actually, even as part of the Quest business, we've seen more -- slightly greater sensitivity to pricing than kind of the more mainstream kind of meal replacement or full snack farms. Anything to add, Geoff?
Geoff Tanner: Yes. I mean all I would probably say is taking the step back year-to-date, POS on Atkins was up 2%. But you're right; we're not immune from elasticity like any other brand. But to Joe's point, when you disaggregate the business you're seeing growth in [indiscernible], you've seen growth in meal buzz. And where you're seeing a disproportionate impact is in, as Joe said, the snackier part of the business which is where we've lost distribution and not innovated as we should have. So yes, I think you're absolutely right. Elasticity is a factor. But just aggregating the business, you can see where the business has strength where we have gaps and the plans we have put -- we're putting in place to solidify where we're seeing more of the impact.
Operator: Our next question comes from the line of Pamela Kaufman with Morgan Stanley.
Pamela Kaufman: You've highlighted the initiatives to improve Atkins innovation. Can you talk about what you see as some of the gaps in the product portfolio and where you think the innovation has lagged. I guess just in terms of the opportunity to improve innovation on bars versus innovation on some of the snackier formats which you've seen some elasticity on but I guess, how are you thinking about the balance of where the innovation is focused?
Joe Scalzo: Yes. Let me do one thing first. I think Geoff started to do this. I just want to remind the callers that our POS year-to-date [indiscernible] total company is up 12%, 13%, right? So we're zooming in on one piece of the business and one form of the business. But I want to highlight the diversification of the portfolio by brand and by form and by channel has enabled us despite some slowdowns in part of the Atkins business to continue to show strong growth. So, kind of how to think about -- how to think about support where the gaps in the portfolio were in the innovation pipeline. It was kind of a confluence of 2 factors a year ago. Factor number one was, as I mentioned, from the previous call, we saw heightened sensitivities to our first price increase which would have been in October of 2021. We saw some velocity slowdowns in our snacking portfolio. So when those shelf resets were starting in September, we had some items in our snack portfolio that were weaker than we originally anticipated. And as we were putting new items in, those items fell out. And just to give you some context, year-to-date, Atkins distribution is up 6%, 7% nationally. So it's not like we've lost shelf space. We've actually lost items in a particular part of the portfolio and that trade out has been actually detrimental to the brand. And then the second factor was innovation -- in any innovation pipeline, you're putting ideas at the top of the funnel, eventually products commercialize out the bottom what we normally would have experienced. So the combination of losing more items than what we anticipated and not as many items come falling down to commercialization led to the gap. And roughly, the gap was, call it, 4 to 5 items lost in distribution, spring of last year. That takes time to rebuild that. Geoff and the team are on it. it will happen as we play out the next fiscal year, the resets in the spring, fall and next spring and we're pretty confident that we'll rebuild we'll rebuild the snacking portfolio and the brand and the brand will get back to the kind of growth we wanted to have.
Geoff Tanner: Yes. The only build for me would be, as I mentioned in the scripted comments, I've been on the road talking with all our top retailers. They love this category and they really love Atkins. And so we expect we're going to get a lot of support when we bring these new items to market over the sequential launch windows.
Pamela Kaufman: Okay. Yes, I was just curious if the innovation is going to be around flavors or different pack sizes, I guess, how you think about the opportunity to innovate and where you see attractive segment?
Joe Scalzo: Yes. Look, we'll talk about -- Geoff will talk about the items in distribution as they're in distribution and starting to produce results. We don't like to talk forward about how we think about innovation.
Pamela Kaufman: Okay, understood. And my other question is just around reinvestment. You talked about how improved gross margins will allow you to reinvest behind the brands and opportunity to step up investment behind Quest. So can you just talk about how you think about that time line for getting to 10% of sales on marketing and advertising and how you're thinking about spending over the next couple of quarters behind brand building?
Shaun Mara: Yes. Let me just piece -- a lot of pieces to that question; [indiscernible] a little bit. So in terms of gross margin, while we're talking about it because we actually had an over-delivery this quarter, so we're happy about that. About 30, 40 basis points overall which is about $1 million, not a ton of money overall but gives us a little bit more flexibility going into the fourth quarter. As we look at the fourth quarter and we look at spending overall, our opportunity, we think, is to basically take advantage of some of the things that Geoff talked about in terms of the pillars he wants to spend money on. So we think we're going to use that money to get the favorability to start work on the growth opportunities that Geoff talked about in each of those pillars overall. As it relates to fiscal '24, I think you are talking about that. I think at a high level, we just started planning for fiscal '24. So it's pretty early for us to have a discussion about '24 but when we look at that right now, we think sales will be at the high end of our long-term algorithm. EBITDA growth will likely be in the high single digits. Couple of things I want to point out, though, to the group one, as it relates to sales, shipments and consumption should be more aligned now that we've lapped the kind of abnormal fiscal '22 builds. And as it relates to gross margin, it's a little too early to get in specifics but we're going to see the progression from first half to our second half this year, Q3 and Q4 is a good setup for fiscal '24. You're going to see sequential improvement from fiscal '23 to '24, not back to full potential, I would say. We feel really good about the first half gross margin versus this year. And I'll just say what we expect to get back to the algorithm where EBITDA is greater than sales growth, we're not going to see all the gross margin improvement drop to EBITDA. We're going to invest incrementally in consumer communication, marketing and capabilities and again, that will be consistent with the growth pillars Geoff talked about in his prepared remarks overall. So one more point on '24, just before I forget, fiscal '24 is a 53-week year for us. So we'll have an extra week. That's about 1 point in both top and bottom line as you guys start building your models out. So with that, that's kind of how we're thinking about the next couple of quarters, years. I'll turn it to Geoff in terms of the Quest investment specifically.
Geoff Tanner: Yes. I mean if you take a step back, we continue to be really excited about not just the delivery from Quest but by its potential, consumption up 24% in Q3 and as I mentioned in the scripted remarks, we think the brand has had a ton of growth runway in front of it. Brand awareness is very low compared to a number of peers which suggests that the brand just has continued runway pushing on innovation which has been the lifeblood of its success. Continuing to push out on distribution and we feel really good about the results that we continue to get there. And as I mentioned, what you're going to see is a step change in marketing on the business because the awareness is low compared to where a brand of this size should be. And so that will be looking at the media mix, creative as well as stepping up our investment on the brand more towards our targeted levels. So we see nothing about runway in front of this brand despite its size and despite the success that it's had.
Joe Scalzo: Yes. Pam, does I answer a lot of pieces to that question. I'm not sure we got to all of them. Is that -- do we cover those?
Pamela Kaufman: Yes, that's helpful.
Operator: Our next questions come from the line of Rob Dickerson with Jefferies.
Rob Dickerson: Great. Maybe just kind of like a broader question of the category as you speak to, I guess, trying to increase overall brand awareness and then just ongoing household penetration upside. I think historically, right, there's been a lot of commentary around the benefits of being kind of the health and beauty aid -- health and beauty area in the store, especially on the profitability side, maybe competitive dynamics. Just kind of given your background, Geoff and kind of how you think about, especially your comment on center items with that brand awareness like could there be like kind of this, I don't want to say a broader rethink of positioning within the store and within channels. But have you thought about almost making it and I'm speaking more specifically to the Atkins brand. Again, kind of more of a brand, kind of for everyday consumption maybe almost a little bit away from such a specific kind of legacy weight loss product in health and beauty aids. And I just -- and I also asked that just kind of what's in the framework of there's a lot of competition, right, within the category because the category has done great and you've helped the category be great. But there's always kind of this ongoing kind of mixing of category positioning between sweet and salt snacking indulgence relative to health and protein fortification, etcetera. So very broad question, just kind of curious how you're thinking about it stepping in.
Geoff Tanner: Yes, thanks for the question. It's a good one. As I mentioned, I have been on the road and I've been speaking with retailers and talking to them about our business but also about the category. And as they look at the category, they see the same runway that we do. Several factors in there but certainly, the low level of household penetration in the 50s versus high 80s for standard store. They also see the twin tailwinds of health and wellness and snacking as driving that and so when I've talked to them about how we can build this category together, there's certainly look at the space as a differentiated opportunity versus the broader standard store. And that's the opportunity that's in front of us. To your question on where would our brands play in that category, that's what we'll do with them. But I think it's a credit to Joe and the team how they have positioned, let's say, actions as more as a lifestyle brand versus the weight management frame. And you can see that as with the recent commercials and bringing Rob Robert [ph], etcetera. So on that theme, I agree, broadening the cut of this category to be more of a lifestyle destination is an opportunity. Retailers see it and we will be working with them, combining our joint capabilities and building that out over the years to come.
Rob Dickerson: Got it. Great, very interesting. And before I forget, Joe, always a pleasure. Thank you so much for all of your hard work and diligence and looking forward to staying in touch. And Geoff, good to have you back. I guess just one more quick question. You kind of mentioned willingness to operate maybe at a little bit of a higher leverage level. Clearly, right now, leverage is in a great spot. You're in a very balance sheet is clean. Clearly, you have some kind of work to do out of the gate with respect to kind of changes and improvements on the distribution side with Atkins. But as we think kind of almost more near term, right, kind of with leverage where it is and kind of what I'm hearing within the space, certain assets being potentially dislodge a little bit coming out of COVID. Is that or could we say acquisition activity is still top of mind given CEO transitional dynamics in the near term? Or is it more hey, let's fix the core, let's support the growth. Let's go for organic opportunity to work with the retailers. And yes, if something comes along, we'll take a look at it but we're really focused on the other side.
Joe Scalzo: I'll start and then I'll let the other guys jump in. Look, the environment is about as low as I've seen in the last 6 years, mainly because there's just not a lot folks transacting given the cost of debt right now. So you're just not seeing a lot of activity and the things that have come to market, frankly, haven't transacted. So we -- I think you've characterized our view which is we're focused on organic growth until the right opportunity comes along at the right price with the right brands that we like. And we're in a from a balance sheet standpoint in a good position to do that. But the -- just the activity in the market right now is not particularly heavy given the cost of debt. And I'll turn it over to anyone else wants to add to that.
Shaun Mara: No. I mean we love the leverage situation we're at now, a little over 1x. We'll be in really good shape by the end of the year. As you know, that we you generate a lot of cash and that's helpful from paying down debt. We've done that this year and we continue to see that runway overall but we constantly look at stuff. I think the answer to your question is both, we're going to do things we went to, to grow the business organically but we're also going to look at things and look at opportunities that are out there and we continue to do that.
Operator: Our next question comes from the line of Jason English with Goldman Sachs.
Jason English: Thank you for sliding in. And Joe, good luck. Enjoy as you find yourself with some more free time. [Indiscernible] you for that and thank you so much for humoring me and by 1 million and sometimes aggregate questions over the years.
Joe Scalzo: Jason, I asked Mark to make sure you were my last question.
Jason English: I'm going to -- I'm going to inaugurate Geoff is going to a great questions but in a minute but first a housekeeping item. The growth expectations you gave for next year were those inclusive or exclusive of the 53rd week?
Joe Scalzo: Those were exclusive with the 53rd week; probably put another point on top of the numbers I gave. So at high end of our algorithm for top line, high single-digit bottom line, plus the 53rd week.
Jason English: Great stuff. Okay, now the inaugurating question. And I apologize in advance but it's on my mind, it's on a lot of investors' minds. But you mentioned weight wellness, the broader weight wellness industry is being disrupted by all these new pharmaceutical solutions and it's still early. The disruption is only going to get bigger as more drugs come to market, more adoption, more insurance coverage. And legacy weight management businesses across the board are under pressure, right? Like listed programs, food and we're all still in the pain. And when I look at active in that context, it feels like this is a bigger issue than just a product cycle or innovation. It feels like this could be a bit of a secular turning point in the industry. What gives you confidence that that's not the case, that this is something that can be so easily resolved with a tactical product solution?
Joe Scalzo: Yes, let -- I'll start and I'll turn it over to Geoff. Obviously, he's got some fresh eyes on the matter. But look, it's -- the press of the event and the actual number of users, there's a pretty big gap right now. So it's still very early innings on these weight loss drugs because they tend to be coastal in their use right now based on everything that we've seen. You're seeing a lot of pickup on the press. So this is still very early innings. So we actually don't see this as a threat but we see it as an opportunity and I'll provide some color commentary. First of all, typically people that are using these drugs have a significant amount of weight to lose, call it, 20-plus per ounce, 20, 25 pounds of weight to lose, right? That is not the epicenter of the buyer Atkins anymore and hasn't been for a number of years. The number of our buyers who are actively using the Atkins program to lose a significant amount of weight is kind of mid-single digits as a percent. So it's not a threat from a volume standpoint but we think actually an opportunity from a marketing standpoint. So that -- look, the drugs are driving renewed interest in weight management and that's always a good thing for your business because the challenge as you know from your experience with the brand, the challenge is getting people actually to take interest to action when it comes to how they look and how they feel. And so these drugs, I think, are starting to renew interest in consumers to change behavior. So news is a good thing, not unlike [indiscernible] was for us, right? It wasn't us but we were able to kind of get on that wave or ride that wave for over 3 years. So as I think there's 2 elements of opportunity for us and Geoff and the team are already on them. The first is people come to pharmacies to get the drug, that's where our brand is. There is an opportunity to tap into that. And as you would imagine, major retailers are really interested in having that conversation. The second, the drugs and this is the nuance of this, the drugs suppress appetite. So you're eating fewer calories and the calories you actually eat have to be more nutritious. So there is an opportunity for our brand. And I think you're seeing the weight wellness other brands do exactly the same thing, right? That you end up having to help people eat more healthy, i.e., you need to be on a program as you're using these things. Otherwise, you're going to do damage to your body and getting -- not getting enough nutrition to it. So our strategy, as we're starting to think through it, our strategy is actually to market Atkins is a perfect complement to people thinking about using the drugs. And we have a rich pedigree as a nutrition philosophy to help people think about that and then use our relationships in the pharmacy aisle to market to it. So we're actually pretty optimistic. We like this as a tailwind. We think it's going to be a pretty good wave. I don't think it's going to have the fattish nature of keto [ph], I think it will build, it will build for a sustained period of time. And I think there's a real opportunity for the brand to take advantage of it. And I'll turn it over to Geoff for any thoughts he's got.
Geoff Tanner: Yes. I mean just a couple of builds, perhaps, I think, firstly, as advocates to weight, wellness and nutrition. I think it's great that consumers who struggle with us have another option which is -- I think it's great. In addition, the consumers who are on the drug, Jason, needing nutritional support. I'm equally excited about the opportunity that these consumers when they come off the drugs. I think a very small portion will stay on for a long time. When consumers come off the drug, the last thing they're going to want to do is put the weight back on, especially after experiencing the physical and mental benefits of weight loss. But we see this as an opportunity to position Atkins as a complement to help consumers while they're on the drug and then to help them knock it back on the truck. And lastly, with the digital tools available to us right now, we can find these consumers and we can message directly through them. And probably not a surprise but the team is on it right now. So we think this is a wave and we're going to catch it.
Jason English: Thank you for the very thorough and thoughtful answer.
Operator: Our last question for today will come from the line of Steve Powers with Deutsche Bank.
Steve Powers: I don't want to ruin Jason's thunder [ph].
Joe Scalzo: That's okay, Steve. Mark told me he was the last question.
Steve Powers: Just actually just one and relatively tactical. On the gross margin front, the overdelivery this quarter was, as you say, very welcome. As I look at the fourth quarter, I think external estimates based on commentary last quarter, we're looking for gross margins to inflect closer to 38% in the fourth quarter. Your slide today, Slide 15 points at closer to 37%. So just wanted to maybe talk a little bit about the puts and takes there if anything's changed? And sort of how we think about the progress quarter-over-quarter and then sort of the -- what the exit rate implies for momentum into '24.
Geoff Tanner: Yes, let me take that one. First of all, I'm not going to give you a number for Q4 but that's okay. As we go forward, I think take a step back for a second. We overdelivered our gross margin by about 40 basis points for the quarter. Q3 it's about $1 million, give or take. Favorability was really lower ingredient costs as we started to see that flow through a little sooner than we thought some favorability in the inbound freight. We had no change to the Q4 fiscal year if we budgeted Q4 to kind of this run rate. And so the Q3 beat really wasn't significant enough to move the needle. We do think we'll see sequential improvement from Q3 to Q4 for gross margin. The last point I want to make to the team here is we had some misses, obviously, in Q1 and Q2. We put fixes in place. They've resulted in better communication visibility and more efficient operating effectiveness. Gives us greater confidence in our forecast as you see that with the Q3 results. So you're going to see sequential improvement.
Operator: Thank you for joining us today. I'll now turn the call back over to management for any final comments.
Shaun Mara: Yes. Thanks again for the participation today. Just one note for me, I and the entire Simply Good Foods organization. I want to thank Joe for his commitment and contributions to the business over the last 10 years. On a personal note. It's been a pleasure to work with him over the last 20 years in various roles in various companies. I wish him nothing but the best in retirement and obviously on the golf course, he will be greatly missed. On a more tactical note, Mark and I and Geoff will be available today for follow-up questions you have. And Geoff and I look forward to updating you on our fourth quarter results in the fourth -- in October. Have a good day. Thank you.
Operator: This does conclude today's teleconference. You may disconnect your lines at this time. Thank you for your participation and enjoy the rest of your day.